Operator: Good day, and welcome to the TransAct Technologies First Quarter 2013 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. William Schmitt of ICR. Please go ahead, sir.
William R. Schmitt: Thank you, Nancy. Good afternoon, and welcome to TransAct's First Quarter 2013 Conference Call. Joining us today from the company are Mr. Bart Shuldman, Chairman and CEO; and Mr. Steve DeMartino, President and CFO. The format of the call will be a brief business review by Bart, followed by Steve providing details on the financials. We will then have time for questions. As a reminder, this conference call contains statements about future events and expectations which are forward-looking in nature. Statements on this call may be deemed as forward-looking and actual results may differ materially. For a full list of risks inherent in -- to the business and the company, please refer to the company's SEC filings, including the company's most recent report on Form 10-K for the year ended December 31. The company undertakes no obligations to revise or update any forward-looking statements to reflect events or circumstances that happen after the call. At this time, I would like to turn it over to Mr. Bart Shuldman. Go ahead, sir.
Bart C. Shuldman: Thank you, Bill. Good afternoon, everyone, and thank you for joining us on today's call. Welcome, everyone, to our first investor conference call for 2013, and what I would like to describe as our first investor call now that the transition we have been talking about is in place and the results starting to show in our financial reports. Our strategy of growing TransAct by investing in markets where we believe we could supply a solution, not just a printer, clearly comes through with the results in the first quarter of 2013, the new TransAct. As we normally do, I'll make some comments about our business and following my remarks, Steve DeMartino, our President and CFO, will review the financial numbers. But this afternoon, I want to spend a couple of minutes in greater detail regarding the transition and our results, specifically focusing on our new products from EPICENTRAL, Printrex oil and gas color printers to food safety. Having just spent the last month visiting with our new customers, who are either buying or testing our new technology, and traveling in these markets, I can say I am especially pleased with our decision to pursue these opportunities and feel good about our prospects. Now looking at the first quarter of 2013, it was a good start to the year for TransAct. As it should be a good indication to our shareholders of how our transition is positively affecting our financial results. But hopefully, you read in our first quarter 2013 press release, the financial results were led by a significant gross margin improvement of 410 basis points compared to the same period last year. We achieved 42.7% gross margin by completing and starting to sell our new higher value-added products in the growth markets we now serve. These results of what we believe to be just the beginning and we do expect that as our new products become a larger portion of our overall sales, this will lead to continuing improved gross and operating margins, as well as significant and recurring long-term revenue for our company, which should also lead to long-term value for our shareholders. So let's start to dive a little further into our new technology and what has occurred. Starting with our EPICENTRAL Print System, we are thrilled to report that this product continues to gain traction both internationally and domestically. Earlier this week, we announced a new contract to install our system at the Hippodrome Casino, one of London's premier casino properties located in the heart of historic Leicester Square. The system will be connected to all 144 electronic gaming machines, including both slot machines and electronic table games, and it's projected to go live in the second half of 2013. Further, last month, EPICENTRAL was installed on 1,800 slot machines at the Northern Quest Resort & Casino in Spokane, Washington. We're excited the EPICENTRAL Print System is running in the only AAA 4-diamond resort in the Eastern Washington. During the first quarter, we also installed the system on approximately 1,700 games at Poarch Creek Indians Week, Wind Creek Casino & Hotel in Alabama. Our system is now running on over 4,500 slot machines as I speak. Our EPICENTRAL Print System is an easy choice for our customers due to its flexibility and now proven record to connect and communicate with casino patrons across the gaming floor through providing promotions, coupons and messages directly through slot machines and electronic table games. And most importantly, as we continue to win more system contracts, it will build upon our base of high-margin recurring revenue. Now I want to make a comment about the success our casinos have had to date. First and foremost, our system allows the casino to promote and market to both carded and uncarded players. This allows our casino customers using the system to turn an uncarded player into a known carded player, something that casinos strive to do. I've spoke directly to casinos using our system and listen to their success. Most were not shy to let me know how much they are enjoying our system and how it is growing their revenues. One casino, in particular, told me when a lower tier player, whose average daily theoretical, commonly known as ADT or theo, who typically loses $15 to $20 a day or per session, when they receive a coupon for free play, this play -- this player, not only plays the free amount that day, but will play another $15 to $20. That means their ADT increases by 100% on the day they receive the promotion. I can tell you that increase is outstanding and the casino is so pleased they now during certain times in the day give out promotions almost every minute, printing over 50 promotions an hour. Adding to the results I heard were big increases in growing their carded players. One casino said they had a 30% increase in player enrollment and a big increase in players moving from being a low-level player to a higher level due to using EPICENTRAL. I also heard directly from casinos, who have implemented our system, that EPICENTRAL has truly grown their revenues. Now moving on to our Printrex color printers for the oil and gas exploration industry, we're making progress introducing and selling our advanced technology into this market. We have begun to receive orders for our Printrex 980, the fastest color printer designed specifically for the oil and gas logging report done in the office. We are marketing this printer in the U.S., China, Canada and Europe. The feedback so far is positive as it was designed especially for this market as they use continuous forms of 9 inch-wide paper. Once the company begins to use the printer, they experience the speed and reliability and can print out the many reports they need for their customers. This, in turn, provides TransAct with a meaningful amount of recurring revenue as the printer uses inkjet cartridges and inkjet printheads. The more they print, the more ink they need and the more recurring revenue we get. In addition, we are starting to receive orders for our new Printrex 920, designed for the rugged exploration and production sites, which prints color logging reports right on the job site. This printer needs to be integrated into many truck and exploration systems used around the world, and we are working diligently to get the printer integrated. We have only just begun to see the orders as we have much work -- much more work to do and it will take time. But the early orders give us positive feedback from the work we have done. I just returned last night from the largest oil and gas trade show in the world, which is in Houston, Texas. More than 80,000 people attend the show. It is huge. Both our new printers were highlighted in our booth, and it was nice to have existing and potential new customers walk in the booth and ask to see our color printer for the field, the Printrex 920, as they have heard all about it. It was reassuring to know our marketing and work in the market is starting to take hold and customers were anxious to see it. These customers, you should know, come from all over the world. There was not a region of the world that did not show up in our booth. Again, we have lots more work to do in the oil and gas worldwide exploration and production market. This will take time, no doubt about it, but the early feedback on orders is giving us a real sign that the industry is truly looking at moving from black and white to color. Now onto our Food Safety, Nutritional Labeling Terminal, the Ithaca 9700, where we just experienced our first full quarter of revenue contribution. We saw the market opportunity to enter this industry a while back and now our work is beginning to pay off. Our current customers are pleased with the technology, ease-of-use and cost-saving capabilities of our terminals. We expect our new Ithaca 9700 food safety terminal to be a material contributor to this market. As you know, our first customer is McDonald's, and we have made solid progress with them both domestically and in their international markets. But in additional to -- in addition to McDonald's, we have made good progress with many other venues who are trialing our system right now. As I've previously told you, we have added to our team the necessary people to handle the large amount of inquiries and have begun the many different trials. Again, this takes time, but as I previously said, I believe our new Ithaca 9700 food safety terminal has the potential to become a very meaningful contributor to both our revenue and margin in years to come. Our transition to grow TransAct by adding our new products and systems is underway. When I look at what we did and if you, the shareholder, think about where we are going, we have entered into markets where despite global turmoil and economic issues, customers need the technology. When I speak with restaurants all over the world, food safety is either #1 or #2 on their list of concerns and needs. No matter the economic climate, they tell me they have to be concerned about their food and their customers, and our solution automates their process for both food safety and labeling. Looking at the oil and gas, exploration is the #1 topic in this industry from the fact that the U.S. can become energy-independent in some years ahead, to the need for energy with the growth of China, India and Brazil, this is an industry where technology is needed to make them more productive and efficient, and we are playing an important role. And when you look at the issues facing casino, with competition across state lines and job growth minimal in the U.S. and abroad, casinos are looking at ways to grow their revenues. This is their #1 topic and our EPICENTRAL Print System is starting to show them they can do just that. We have entered markets where the demand for our product and technology exists. And we have diversified our portfolio extensively into less commoditized markets, which we believe will lead to revenue growth and yield growing margins, not being reliant on any one particular market, allows us to grow our revenues and profits even in an unstable economy. Finally, I will steal a little thunder from Steve. While our margins improved considerably, this was only part of the story for the first quarter. In the first quarter 2013, we also returned $1.2 million to shareholders through repurchases of our shares and a quarterly dividend of $0.06. We also recently announced an increase in our quarterly dividend from $0.06 per share to $0.07 per share, an approximate yield of 3.7%. Our strong financial position has enabled us to provide a higher dividend directly to our shareholders that are holding the stock. We have worked hard to transition the company into a new TransAct. In addition to the introduction of our new products and technology, we believe we are now starting the beginning of a strong revenue -- recurring revenue base. Let me say that again. In addition to the introduction of our new products and technology, we believe we are now starting the beginning of a strong recurring revenue base and look forward to the future. We expect sales and our earnings per share to ramp up as we move to 2013, but you need to know it will take time, but the results are starting to show what it all means. Before turning the call over to Steve, I want to thank the entire TransAct team for their commitment efforts, for what they've done and also to our shareholders who continue to stand by TransAct and support our work and efforts. Your support is truly appreciated by everyone at TransAct. At this point, I'll turn the call over to our President and Chief Financial Officer, Steve DeMartino, who will share the details of our financial and operations results with you. Once finished, we will be both be glad to answer any questions you have. Steve?
Steven A. DeMartino: Thanks, Bart. Let's go over the first quarter financials. Our net sales for the first quarter of 2013 were $15.1 million, down 14% from $17.6 million in the first quarter of last year. During the first quarter of 2013, we shipped into 37,000 printers and terminals, representing a 25% decrease in unit volume compared to 49,000 units we shipped in the first quarter of last year. Our unit buying declined largely due to lower international casino and gaming printer shipments, as well as lower banking printer shipments, which I'll explain later. The average selling price of our printers increased slightly by 2% to $287 per printer in the first quarter of this year compared to $283 per printer in the first quarter last year. The increase was primarily due to the initial sales contributions from our newly launched Printrex 920 and Printrex 980 printers and the Ithaca 9700 food safety terminal, all of which have higher average selling prices than our legacy products. Now looking at sales in each of our individual markets. Sales from our casino and gaming market were approximately $6.7 million for the first quarter of 2013, down 28% from the prior year's quarter. On the positive side, our domestic casino and gaming sales were actually up 2%. Though domestic printer sales were down because they were fewer new casino openings in the first quarter this year compared to the first quarter last year, our first quarter significant EPICENTRAL software sales more than made up for the decline in printer sales. In fact, we recognize revenue on 2 completed installations of EPICENTRAL at Northern Quest Resort & Casino in Washington state and Wind Creek Casino & Hotel in Alabama, both of which were accounted for under the purchase model, which allows us to recognize revenue upon completion of the installations. On the international side, sales declined by 49%. We believe our international sales for Q1 were impacted by 2 items: first, there were fewer installations of VLT gaming machines in Italy, as the government approved rollout of these games was substantially completed during 2012; and second, we believe a struggling European economy impacted our customers' level of capital spending in the quarter. Printrex contributed $1.3 million of printer sales for the first quarter of 2013, up 7% from the prior year period. I'm happy to say that Printrex sales increased due to sales contributions from our 2 new Printrex color oil and gas printers, the Printrex 920 and the Printrex 980, which we expect to increase as we move through the rest of 2013. Moving on to our food safety, banking and point-of-sale markets, sales for the quarter were $2 million, down 15% from the first quarter of 2012, largely as a result of lower banking printer sales. During 2012, we shipped approximately $1.6 million of printers to a large bank, thus refreshing their bank teller station hardware. We completed shipments to this bank for this project in 2012 and therefore, have no repeat of these sales in 2013. As you may recall, sale of our banking printers are project-oriented and can fluctuate significantly quarter-to-quarter. Despite the decrease in sales of banking printers, sales of our POS printers to McDonald's to support a new checkout counter application increased in the quarter, and we also experienced our first full quarter sales contribution from our new Ithaca 9700 food safety terminal. We are working through the sales cycle with prospective customers and we believe that the growth opportunity for the Ithaca 9700 is significant and sales of this product will ramp during 2013 as the product takes hold in the market. Sales of lottery printers to GTECH were $1.4 million in the first quarter of 2013, up 33% from the prior year period due to the timing of orders. As you know, sales to GTECH can fluctuate significantly from quarter-to-quarter. Sales from our TransAct Services Group increased by 3% in the first quarter of 2013 compared to the first quarter last year. The increase was mainly driven by higher sales of spare parts and service revenue, partially offset by lower consumable sales. In addition, sales for the quarter were aided by the first full quarter of revenue contribution from consumables from our new Printrex color printers. We expect these consumables to represent a growing recurring revenue stream for us as our installed base of these printers increases as we move through the remainder of 2013. And now turning to our gross margin. Our gross margin in the first quarter 2013 increased to 42.7% from 38.6% in the first quarter last year, a solid increase of 410 basis points. Our gross margin for Q1 reflects the beginning of our transition to a new sales mix for TransAct. Sales of our new value-added products that EPICENTRAL software, Printrex color printers and our food safety terminals led to a higher overall gross margin, which we expect to continue as these products become a growing percentage of our overall sales over time. Our operating expenses for the first quarter of 2013 were $5 million, an increase of 3% from $4.9 million in the first quarter last year. On an adjusted basis, excluding $200,000 of legal fees relating to the Avery Dennison lawsuit from this quarter and $54,000 of restructuring costs related to the Printrex acquisition from last year's quarter, our operating expenses were actually consistent with the prior period increasing by less than 1%. Our operating income in the first quarter of 2013 decreased to $1.4 million or 9.3% of net sales from $1.9 million or 10.9% of net sales in the prior year's quarter. However, excluding the charges explained before in both quarters, operating income was 10.6% of net sales in the first quarter this year versus 11.2% in the prior year, which was down only 60 basis points or 5%. So our operating income on an adjusted basis decreased by only 5% on a 14% drop in sales. Even on lower sales, this demonstrates the positive affect the higher-margin of our new products is having and will continue to have as our sales rise on our overall operating profitability. We recorded income taxes at an effective tax rate of 19.3% in the first quarter 2013 compared to 36% in the first quarter last year. Our effective tax rate for the first quarter this year was unusually low because it included the full year benefit from the 2012 federal research and development credit of approximately $220,000, as this credit expired at the end of 2011 and it was not renewed and enacted into law until January of this year. Thus, we recorded a catch-up adjustment of the full $220,000 all in the first quarter 2013, which added about $0.025 to our reported EPS for the quarter. For the remainder of 2013, we expect our annual effective tax rate to be between 33% and 34%. And in the bottom line, diluted EPS for the quarter was $0.13, same as in the prior year quarter. However, excluding the lawsuit legal fees on an adjusted basis, we recorded EPS of $0.15 per share in the first quarter of this year. And now let's take a look at our balance sheet at the end of the quarter. Receivables were $10.8 million at the end of March 2013, down 32% from $15.9 million at the end of last year. The large decrease in our receivables reflects collections against unusually high concentration of sales in December last year. Our inventory balance increased $11.2 million at the end of the first quarter 2013, up 9% from the previous quarter. As we explained in our conference call last time, our inventories rose as we moved into 2013 as we expected due to increased stocking levels for our nearly launched food safety and Printrex color products. Our accounts payable decreased by about $2.4 million or 37% to $4 million during the first quarter 2013. The decrease was mainly due to higher payments during the quarter, but inventory purchased from the fourth quarter last year to support the higher sales volume during that period. And in terms of debt, we continued to have none outstanding under our $20 million revolving credit facility with TD Bank. And now looking at our cash flow. Our cash balance increased by $900,000 or 12% to $8.4 million at the end of the first quarter 2013 from $7.5 million at the end of December last year. Our capital expenditures were approximately $238,000 for the first quarter this year, including approximately $42,000 of software development costs for EPICENTRAL system as we continue to expand and enhance the functionality of EPICENTRAL. This compares to just $54,000 of capital expenditures for the first quarter 2012. And based on our pipeline of planned printer projects and continuing EPICENTRAL software development, we expect our capital spending for 2013 to be about $1.2 million. Depreciation and amortization totaled $454,000 for the first quarter 2013, compared to $447,000 for the first quarter last year. Share-based compensation expense totaled about $134,000 for the first quarter this year versus $157,000 for the first quarter last year. EBITDA for the first quarter of 2013 was approximately $2 million. Excluding the lawsuit legal fees, EBITDA would have been $2.2 million for the first quarter. And this compares to EBITDA of $2.5 million for the same period last year. Our working capital increased 2% to $25.9 million at the end of the first quarter from $25.5 million at the end of last year. And notably, our current ratio reached a strong 4.8 at the end of first quarter compared to 3.5 at the end of last year. As for our stock buyback program, we repurchased 88,900 shares of our common stock for about $700,000 under our stock repurchase program during the first quarter. We have approximately $5.5 million remaining available to repurchase under our stock buyback plan, which expires at the end of this May. As for our dividend program, we paid a quarterly dividend of $0.06 per share in the first quarter 2013 for a total of $519,000. So during Q1, we returned $1.2 million to our shareholders through a combination of dividend payments and stock repurchases. And as Bart mentioned, we just announced that we increase our quarterly dividend to $0.07 per share for the second quarter, a 17% increase. In closing, we are pleased with our first quarter 2013 results, led by a gross margin improvement of 410 basis points compared to the prior year quarter. Now that all our new products are in the marketplace, we are encouraged that 2013 will be the beginning of noteworthy results for TransAct. Looking forward, we expect sales to ramp up during the remainder of 2013, especially in the second half of the year, as increased sales from the new food safety, Printrex color oil and gas products, as well as EPICENTRAL software sales continue to build. We believe that focusing our efforts on these new and more profitable products should result in expansion of both our growth and operating margins, as well as increased earnings going forward. And with that, I'll pass it back to Bart.
Bart C. Shuldman: Thanks, Steve. Great report. Operator, let's open up the call to questions.
Operator: [Operator Instructions] The first question comes from Todd Eilers with Eiler Research.
Todd Eilers - Eilers Research, LLC: I wanted to ask 2 questions on EPICENTRAL. It looks like you guys had a nice contribution in the quarter. Bart, I think you mentioned you had 4,500 slots now connected to the system. Can you give us a sense or let us know how many actually have, I guess, under contract and maybe give us a sense to what the backlog might be for that product? And then you mentioned that it was, I guess, a meaningful contributor. Can you maybe share what the total value was in the quarter in terms of sales?
Bart C. Shuldman: Okay, let me break it down. So from how many are on contract, I think if you add it up, it's getting close to 10,000 slot machines. That's through the contracts that we've won. We're getting close to 10,000. The 4,500 are live right now and, of course, I was able to let you know the success clearly when you hear things like 100% increase in ADT or the theo, that's really big. And as the 1 casino marketing person told me, he's trying to convince his bosses to double or triple the amount of coupons and promotions they're giving away because the effect to the bottom line has been just phenomenal. We really don't break out the revenue for the 2 contracts that we closed and we don't expect to do that. And it has a lot to do with being public and competitors looking at what we're doing, so we don't think that's a good idea on our behalf. But I think the gross margin story that you saw come through, Todd, in the first quarter, 400 basis points, 42% -- almost 43% gross margin, clearly, EPICENTRAL had a lot to do with that along with our oil and gas and food safety terminal. The backlog, the amount of customers we're talking to remains large. I think what's been very helpful to us is getting 3 casinos 4,500 slot machines up on the system and being able to now gather success stories from them, what the system is doing for them. I think when you're talking to a casino and they say how many people can you tell me about for the first year that we've had Red Wind go live, it was just 1 casino. And I think now being able to talk about 3, soon to be 4, 5, 6, 7 and more, we just won the one in London, which is right in Leicester Square, it's just a wonderful location, a real show place for us. It's going to allow us to really focus the casinos that we're talking to on the success that EPICENTRAL is bringing these casinos. And it's a lot different when you can point to 3, 4 and 5 casinos that are all experiencing significant growth revenue, carded players, uncarded turning into carded players. We've had an increase in 1 casino of 30% of lower tier players going to the next tier. We've had 1 casino talk about a 10% increase in their top tier players' ADT or theo. I mean, when you talk to casino owners about increasing their top tier players, 10% of the amount of money they're playing daily, that's just huge numbers. So the fact that we can talk to that now, and just not 1 casino, but many casinos, it really starts to build the story and we're very pleased with that and also looking forward to closing many more deals as we talk to these casinos in our pipeline.
Todd Eilers - Eilers Research, LLC: Okay, great. That's helpful, Bart. I also wanted to ask about gross margins as well. Obviously, a nice step function up in the quarter with the higher mix of some of these new products. Is this level sustainable, this kind of 42%, 43% margin, is that sustainable going forward? And I don't know if -- I mean, I would think as you kind of get more of these products as part of the overall volume that you could potentially even seek further expansion. I mean, any sort of kind of color you can share with us in terms of maybe what the range of outcomes could be in terms of gross margin? For instance, maybe the low-end and high-end of what you think you can achieve going forward under the kind of the new business model would be helpful.
Bart C. Shuldman: Yes, let me break up the question into 2. I'm going to let Steve talk about the low and high end because I think we can share that with you, but let me tell you how I see the business. What you saw in the first quarter was if you take our food safety, banking and POS business, what you saw was we have talked about it for the last year or 2 that we're going to see the decline of our commodity POS business. We aren't spending time there. We're not investing in it. We're not marketing in it. We clearly have customers that are using those products. And I'm talking about everything less McDonald's because McDonald's is a specific customers using some of our products that we support. But if you look at the rest of the POS business, that business will continue to decline. That was very low margin business and what's taking its place is the food safety terminal. Now a couple of things are going on. One, the food safety terminal sells at about 3 to 4x what the POS printers is sold for, so 1 food safety terminal takes care of 3 or 4 POS printers, but at the same time, the margin is significantly different. So as -- what you saw in the first quarter was basically, our legacy products were declining and food safety was increasing and over the next couple of quarters, the amount of revenue that will be generated from food safety will overcome the revenue loss from declining legacy, so what we'll have is the same revenue or higher revenue, which we're expecting, but much higher gross margins. So what you will see is that food safety business overcoming the -- and on purpose, decline of that legacy POS business and you'll see that revenue start to increase and then the margins, of course, pick up nicely. What you'll also see is as we continue to sell more oil and gas printers, all of that recurring revenue starts to build because we have more and more printers out there and all of those consumables are at higher margin and the oil and gas color printer is at higher average selling prices and higher margins. So you'll see that all take an effect. Now as for what we'll see in the margin standpoint, Steve, I think we'll see this low 40s, but what kind of range would you like -- could you tell Todd you'd see?
Steven A. DeMartino: Yes, so I think for the next probably quarter or maybe 2, as we continue to transition, this will probably be roughly the level we'll be at. And then after that, the new products become a bigger portion of our overall sales, you can see the margin climb into -- probably into the mid 40s. That would be a reasonable estimate over time. I think you have to keep in mind, though, that the EPICENTRAL deals, a lot of them are purchase deals and those will pop in and out from quarter-to-quarter and those would impact our quarterly margins, so those are good margin deals. So in the quarter, where we have a significant number of those, the margin -- you'll see our margin pop in that quarter. Where we have a lower amount, you might see a slight decline.
Bart C. Shuldman: But the one thing that I can say, Todd, is the amount of venues or restaurants that we're working with, with the 9700 is, in all fairness, more than we thought when we first get into the business that we would be talking to this early in the game. I mean, literally, while we work with McDonald's up until their approval of the terminal, we did not work with other restaurant chains or companies around the world until that product was launched, officially launched, which happened in the October-November time frame. So we're only talking 5, 6 months after officially really bringing that into the marketplace and the amount of customers that we're trialing the product right now is much more than we thought. In fact, we've talked about having to hire more people so we can get all of this work done. If those start hitting or once those start hitting, those will have a meaningful impact to our gross margins also. So you've got a lot of dynamics but you -- as Steve said, this 42% range is probably where we'll sit. And as these things keep rolling in, you'll see that pick up.
Operator: [Operator Instructions] And it does appear that there are no further questions at this time. I'd like to turn the conference back to management for any additional or closing remarks.
Bart C. Shuldman: Thanks, everybody, for joining us today in the conference call. Clearly, we're pleased. We want to thank our shareholders for their support. We want to thank our employees at TransAct for the hard work. We've clearly been through a major transition with the business. We've got software products out there. We've got terminals now with software and hardware and firmware and touchscreens and we're really pleased with the work our team has done. We are going to be attending the National Restaurant Association Show in the next couple -- at the end of next week. We invite our shareholders to attend. We'll be at the Global Gaming show in Asia and we also ask our shareholders that want to go out to Macau to attend and we also invite our shareholders to our Annual Shareholders' Meeting, I believe, on May 28 at 10:00 here in our office and we'd be happy to demonstrate our new technology and products. We thank you for joining us tonight. Again, thank you for your support.
Operator: That concludes today's presentation. Thank you for your participation.